Ivan Vindheim: Good morning, everyone. My name is Ivan Vindheim. I am the CEO of Mowi. And it’s my pleasure to wish you all welcome to the presentation of Mowi’s First Quarter Results of 2022. With me today to walk us through our financial figures and fundamentals, I have, as usual, our CFO, Kristian Ellingsen. And after a presentation, our IRO will host a Q&A session. For those of you who are following the presentation on webcast can submit your questions in advance or as we go along via e-mail, please refer to our website at mowi.com for the necessary details. The disclaimer, I think will leave for self-study. Then highlights. The prices we saw towards the end of last year, they continued into the first quarter, i.e., they were increasing on lower season supply and our global supply contraction of 7% year-over-year and not least, a continued strong demand partly driven by Lent and Easter season. And in case of the latter notwithstanding spillover effects from the war in Ukraine and still some scattered pandemic restrictions in some markets. Against this backdrop, Mowi recorded record high first revenues and an operational profit of €207 million, also at record high levels, almost doubled year-over-year and in line with trading update of the April 13. Blended Farming cost was €4.78 per kilo in the quarter, up from €4.62 per kilo in the fourth quarter on lower seasonal harvest volumes and thereby less dilution of costs along with increasing input prices. Furthermore, we harvested 97,000 tons in the quarter, which was approximately in line with the harvest guidance. Consumer Products delivered another set of good results, I would say, considering the record high raw material prices. For our feed division, the first quarter is low season and both our profit volumes and our volumes are colored by that. Other than that, feed performance was good in the quarter, which is of utmost importance to us. Last but not least, the Board of Directors has declared a quarterly dividend of NOK1.95 per share, which is equivalent to 68% of underlying earnings per share, of which 50% or NOK1.44 is ordinary dividend, i.e., NOK0.51 is extraordinary dividend. I think that does it for highlights, then over to key financial figures. Kristian will, as usual, go in depth on financial figures under his session. So, to not disrupt the course events, we will just touch briefly upon the most important ones now. Mowi recorded an operational revenue of €1.095 billion in the quarter, which is, as already said, a record high for first quarter, up 7% year-over-year on 23% lower harvest volumes. Operational EBIT of €207 million we have already commented on almost doubled year-over-year. Cash flow was good in the quarter and net interest-bearing debt came in at €1.18 billion, well within our long-term target of €1.4 billion. Underlying earnings per share in the quarter was €0.29 and annualized return on capital employed was 23.4%, above our long-term target of 12%. In terms of regional margins through the value chain, they were good in Norway, Canada and Ireland in the quarter, whereas the other farming regions were more of a mixed bag. We will get back to the explanation shortly when we go through the various business entities. But first, briefly about prices. As already said, the increasing prices you saw towards the end of last year continued as expected into the first quarter on low supply and strong demand. Compared to the first quarter last year, prices were up by impressive 55% in Europe and 33% and 40% respectively for Salmon of Chilean and Canadian origin in the American market, undoubtedly a very strong salmon market the way we see it. Kristian will elaborate more on prices and supply demand under his session. Then our own relative price performance. Overall price achievement was 9% below the reference price in the quarter due to record high spot prices and knock-on effects from fixed contracts. In addition to that, price achievement was negatively impacted by quality downgrading due to winter sores in Norway and stores from SRS and Tenacibaculum in Chile. In terms of winter sores, I think it’s right to say that we have had more problems in Norway this year than last year due to a cold winter and many stores, conditions under which its main causative agent, Moritella viscosa becomes more pathogenic. So, much about prices, then briefly about the EBIT waterfall. Overall operational EBIT increased from €109 million to €207 million year-over-year. This was in its entirety driven by increased earnings in Farming as a result of higher prices. Farming volumes are in the same period down and Farming costs up. Other businesses contributed with €14 million less year-over-year. Then it’s time to address the various business entities. And as usual, we start with the largest and most important one, Mowi in Norway. Operational EBIT was €151 million in the quarter, up from €73 million in the comparable quarter last year. Both prices and earnings were record high for our first quarter for Mowi in Norway. EBIT margin was €2.55 per kilo in the market in the quarter this year versus €0.98 last year, i.e., an improvement of 160% year-over-year. As the graph clearly demonstrates, this is caused by higher prices. Volumes are down from 75,000 tons to 59,000 tons, and cost is up on lower dilution of cost, higher input prices and a more challenging biology. Particular issues with winter sores impacted our operational performance negatively this year. Other than that, production has been very good in the quarter and to date. Due to low volumes, we expect further increase in cost in the second quarter on, as said, low volumes. And that said, we expect them to increase into the second half of the year on higher volumes. Then the breakdown of the margins for the different regions in Norway. Margin-wise, it was a mixed bag also this time around, following to a large extent, the coast line. Region North stands yet again out as the margin winner with €2.93 per kilo on lowest cost, although it was adversely impacted by, as already said, more issues with winter sores than normal this year in addition to a less favorable site mix with a higher proportion from Production Area 7. Region Mid achieved a margin of €2.61 per kilo. Realized cost was negatively impacted by lower volumes and harvesting out a site with small fish due to CMS. Overall production and seawater performance were relatively good in the quarter for Region Mid. Region West achieved a margin of only €2.07 per kilo in the quarter driven by very low volumes and where the lion’s share of the volumes were harvested in January on lower prices. Other than that operational performance has been relatively good in the quarter for Region West. Region South had a margin of €2.35 per kilo negatively impacted by gill issues, winter sores and CMS. Then our Norwegian contract portfolio. Due to our optimistic market view for this year, we decided last fall to keep our contract share for Norway low at 26% or 70,000 tons to capitalize on this. This strategy obviously treated us well in the first quarter, although seasonal low volumes took the contract share to 31%. When it comes to the second quarter, contract share is 29% and contract prices are in line with the first quarter. Then CapEx in Norway, it was with great pleasure we decided recently to build a new state-of-the-art 100,000 tons primary processing plant at Josnoya, Hitra to accommodate our harvest volumes in Production Areas 6 and 7. Finally, I guess we could add to this. Anyway, the plant is scheduled for commissioning in the first quarter of 2024 and will replace our dilapidated primary processing plant at Ulvan, Froya. Furthermore, and further to our postsmolt program in Norway, we have also decided a postsmolt expansion at our Hauka facility outside Floro in Production Area 4. With this, we are now undertaken projects accounting for 41% of the postsmolt program in Norway we launched at the Capital Markets Day last year, a program which is aimed to give us 40,000 tons extra harvest volumes in Norway by 2027, all else being equal at very attractive terms. That, I think, does it for Mowi Norway. Then over to Mowi Scotland. Operational profit for Mowi Scotland was €11 million in the quarter, down from €27 million last year on almost halving of volumes, 10,000 tons versus 18,000 tons. Margin was €1.0 per kilo versus €1.46 per kilo last year. Both volumes and earnings in absolute and relative terms were negatively impacted by poor production on stocks growing from externally sourced eggs we introduced in Scotland and lack of other opportunities in the aftermath of the Norwegian egg export ban in 2019. As previously said, we have already moved towards more Mowi eggs from Ireland, but we will struggle with this stock for another – yet another quarter before it’s harvested out. Accordingly, we expect significant improvements for Mowi Scotland for the second half of this year. In terms of prices, prices are up in Scotland as well, but with our business model with a much higher share of contracts as much as 77% in the quarter on though very low volumes. There are obviously less tailwinds from the record high spot prices for Mowi Scotland than for our other regions. For better or worse I guess, I could add to this over time it goes both ways and it makes the business more predictable. Then Mowi Chile. Mowi Chile more than doubled its earnings year-over-year in the first quarter from €8 million to €20 million due to higher prices driven by a very strong American market. Volumes are on the other hand, down from 19,000 tons to 16,000 tons, whereas cost is up, partly driven by less dilution of cost. Margin increased year-over-year from €0.40 per kilo to €1.26 per kilo. To some extent, held back by our contract share of 50% in the quarter as opposed to last year when contracts contributed positively to the margin achievement. In terms of biology, the first quarter is summer season in Chile and we have been through yet another dry and warm summer in Chile, leading to issues related to low DO and algae. However, all things considered, I think we have managed reasonably well in Chile also this summer, though with some elevated mortalities and downgrading due to sores from SRS and Tenacibaculum. Further north to Canada. Mowi Canada turned a profit of €23 million in the first quarter against a loss of €4 million last year. This was driven by significantly higher prices, 100% spot exposure and lower cost. Volumes on the other hand were somewhat down from 11,000 tons to 9,000 tons as we harvested a minimum in Canada East in the quarter. Canada West had an impressive margin of €2.93 per kilo in the quarter, similar to Mowi Norway Region North. Overall production and biological performance improved for Canada West compared with the first quarter of 2021. As far as Canada East is concerned, we will not harvest any meaningful volumes before the fourth quarter this year. Meanwhile, the turnaround process initiated last year, continues unabated. And as previously announced, until satisfactory biological control is attained, we will hold back on our growth ambitions in this region. Then it’s time for Mowi Ireland and Mowi Faroes. For the Salmon of Irish origin, we made an operational EBIT of €2.5 million on impressive €3.71 per kilo in margin, partly driven by egg sales. Biology has been good in Ireland in the quarter, providing good growth conditions. In the Faroes, operational EBIT came to €1.8 million or €1.53 per kilo, negatively impacted by low volumes, of which close to 100% were harvested in January on lower prices in addition to gill issues at one site. We expect to see improvements for Mowi Faroes in the second quarter. So, much about Farming, then over to Mowi Consumer Products. Consumer Products made an operational profit of €21 million in the quarter, down from pandemic-boosted €32 million last year on higher price volatility and lower volumes. In case of the latter, we sold 56,000 tons product weight in the first quarter versus 62,000 tons in the comparable quarter last year following the drop in Farming volumes. Return on sales in total and for value-added only, they were 2.9% and 4.0%, respectively, in the quarter. The high raw material prices make it undoubtedly more challenging for Consumer Products in the short-term. That said, I think we have managed reasonably well so far, so kudos to the organization for this. It’s much appreciated. In terms of overall demand, it was strong in more or less all markets in the quarter, partly driven by, as I already said, Lent and Easter season. We also see good development in demand so far in the second quarter. In the first quarter, we also had the pleasure to open a brand new highly automated factory in Goleniow, in Poland to produce meal and oil offcuts from Mowi Ustka, also formerly known as Morpol for human supplements, pet food and aquafeed. This goes directly into the circular economy and is securing 100% utilization of the raw material for Mowi Ustka. It’s also a very good business as this raw material is already paid for. For those of you who do not know, Mowi Ustka is the world’s by far largest secondary processing plant for Atlantic salmon, handling approximately 100,000 tons raw material annually. Then our latest addition to the Mowi family, Mowi Feed. As said initially, the first quarter is characterized by low season for Mowi Feed with all that intakes. Operating EBIT of negative €4 million is largely in line with the first quarter of last year of negative €3 million. The same goes for sold volumes of 88,000 tons. And overall Feed production has been satisfactory in the quarter. Feed performance has also been very good in the year so far. Then Kristian, the floor is all yours, so you can walk us through our financial figures and fundamentals. Thank you so far.
Kristian Ellingsen: Thank you very much, Ivan and good morning, everybody. Nice to see you again here in Oslo this time. So as usual, we start with the statement of profit and loss, where the top line shows an all-time high Q1 revenue of €1.1 billion, 7% increase from Q1 last year on higher prices driven by the very strong market. And this also led to an increase in operational EBIT, which was up by as much as €98 million or close to 90%. When it comes to the items between operational EBIT and financial EBIT, the net fair value adjustment of biomass was positive this time around, €55 million based on the favorable development in price assumption. Income of associated companies, that’s mainly related to our associated company, Nova Sea, which had a good quarter and delivered a solid operational EBIT margin of €2.81 per kilo, although somewhat below Mowi Region North. Net financial items, minor this time around as interest costs were offset by currency gains, underlying earnings per share, €0.29 and the generated cash flow per share, €0.30 in the first quarter. Return on capital employed, 23.4%. That’s almost a double of the figure in Q1 last year. The balance sheet is relatively stable versus year-end with assets around €6.3 billion. And the financial position for Mowi is very strong with a covenant equity ratio of as much as 56.2%, net interest-bearing debt, €1.177 million, which was well below the €1.4 billion target. We had a good cash flow in the quarter, €152 million before a dividend payment of €72 million. This translates into the €0.30 per share. Cash flow from operations include change in working capital, minus €11 million. There was a seasonal release in Farming and sales and marketing, but a tie-up in Feed. Taxes paid includes the production fee accrued for 2021. CapEx, we see somewhat higher than the same time last year. And when it comes to the 2022 guiding for the cash flow, this is unchanged from the previous quarter. We continue to invest in our value chain. This ties up working capital and of course, CapEx. When it comes to financing, this is also unchanged from the previous quarter. We have a good and solid financing in place. The bank syndicate loan is the backbone of the financing. And we have a good cooperation with our lenders, which are listed here; DNB, Nordea, ABN Amro, Rabobank, Danske Bank, SEB and Credit Agricole. We also see here that no debt is maturing until 2023 for Mowi. Supply chain, supply and demand developments, market fundamentals is what we will discuss now in the coming slides here. And we see that there was a global supply contraction of 7% in the first quarter of 2022 versus the same time last year. The guidance was between minus 7% and minus 11%. You see that Norway is down 4% in the quarter, lower biomass going into the quarter following 2021 with strong volumes. When we look at the end of the first quarter, biomass for the Norwegian companies estimated to be 1% lower than last year, which indicates modest volume growth going forward. In Chile, we see that the volume contraction in the first quarter was 11%, less of a reduction than guided in the previous quarter. And this was first and foremost, due to more fish than expected being harvested, most likely as a measure ahead of the algae season in Chile and probably also the benefit from strong prices. Standing biomass in Chile is also down 1%, which should also result in modest volume growth in the time ahead. The consumed volumes in the market, we see that’s also down 7%, so consistent with supply developments, but blended prices are up 40% and estimated global value of salmon consumed was a record high, confirming the very strong underlying growth for salmon. In the EU, plus the UK, we saw further re-openings of the Foodservice segment following the pandemic. This had a positive effect on demand, although, of course, the reduced available volumes took down consumed volumes. In the U.S., consumed volumes increased, we see here, plus 1% despite the volume contraction, that’s impressive. Chilean volumes destined for Russia have, to a large extent, been redirected to the U.S. The Foodservice segment has been open in the U.S. in the quarter and the Retail segment also maintained its growth from an already high base. We saw increased volumes also in our Consumer Products operation in the U.S., producing very popular convenient and healthy products for the U.S. retail market. You see that Asia is impacted by lower available volumes and rising air cargo costs, closure of parts of the air space available for air cargo to Asia following the Russia-Ukraine conflict. China increased from a low base when comparing to Q1 last year when that quarter was very much impacted by COVID-related restrictions. And we now see more restrictions in China. Then over to prices. The tight market balance has, of course, resulted in record high prices, up 55% in Europe, 33% in Miami for Chilean origin in the North American market and 40% on the East Coast for – yes, 40% in Seattle/Boston for Canadian market. So, a very strong prices. The good prices have continued into the second quarter and we see a strong market also going forward with strong demand and low supply growth. For the rest of 2022, the expected supply growth for the remainder of the year is 0%. For total year, 2022 as a whole, the expectation is minus 1%, as we see stated here. And for the second quarter specifically, the volume contraction is between minus 4% and minus 9%, as we see in the mid-table here, so limited volumes, limited volume growth in the time ahead for the market. When it comes to Mowi’s own volumes, we maintain the guiding of 460,000 tons for the year of 2022. We guide Scotland down 5,000 tons on production challenges on the stocks grown from externally sourced eggs, but Canada West is up 5,000 tons on improved biology. Then Ivan, it’s over to you for the outlook statement.
Ivan Vindheim: Thank you, Kristian. Much appreciated. Then it’s time to conclude with some closing remarks before we wrap it all up with our Q&A session hosted by our IRO, Kim Dosvig. I said a few times already, we are very optimistic about the market prospects going forward. Current prices are extremely good and the supply side is constrained. The latest Kontali figures suggest no growth for the remainder of the year and our internal figures indicate the same. So, we believe in continued good price achievement in the time ahead. And with Mowi’s diverse and integrated value chain and low contract share, we think we are in a great position to capitalize on this. The only grey cloud on the sky, the way we see it is the current inflationary pressure that is really reeling the world economy. But so far, soaring summer prices have more than offset the increase in input prices for the summer. Salmon is a fantastic product with great product features and the beneficiary of strong megatrends. And we firmly believe that salmon continue to stand out versus other animal protein sources due to its low feed conversion ratio, low energy use and its superior sustainability credentials. In terms of harvest volume guidance for 2022, we have, as Kristian just showed us, maintained at 460,000 tons, though with our 5,000 tons reshuffled from Scotland to Canada West. And finally, the Board of Directors has declared a quarterly dividend of NOK1.95 per share, which is equivalent to 68% of underlying earnings per share, of which 50% is ordinary dividend, i.e., NOK1.44 per share. Rest is extraordinary. Then I think we are ready for the Q&A session, Kim. So, if Kristian can please join me on the stage. If you can just give me 1 minute, so he can fetch up [indiscernible]. Right. I apologize.
Q - Alex Aukner: Alex Aukner from DNB Markets. Two questions. Could you give any flavor on sort of the customers’ reactions to the recent price increases? And secondly, you mentioned the inflationary pressure with the current input prices to feed in other parts to the production cost, what’s the effect going to be once that feeds into your P&L? And what kind of mitigating factors do you have to deal with this?
Ivan Vindheim: Right. So maybe you, Kristian can take the second part of question, and I can start off on the first part and the customer reaction. So, the prices we have seen recently, they have not been that for long. So, the end customers, they haven’t faced these prices. I think we – that I think we must say. At the same time, we see that over time, the customers are willing to pay more and more for the salmon. So, each time we set new records, we have the same debate, sorry. Is this – will this disrupt demand? And I think over the salmon’s 50 at least the farm, salmon 50 years of life this has gone well so far. So, I think we will manage this time around too. But again, the current prices we see, they haven’t been pushed on to the end customer. So, there is no profit in the entire value chain right now. So – and yes, we know that we have had too little salmon to sell so far this year. So, the only way to clear the market has been through the prices we have seen. So, if you, Kristian, can follow-up with the second part of the question.
Kristian Ellingsen: Yes. So, when it comes to cost inflation, that is, of course, impacting all industries, including salmon farming. We believe, however, that we still have a potential. We still have measures we can take throughout the value chain to further address costs and reduce cost. We see that we have come some way with the productivity program, but we still have a potential to realize more of that. We have the ongoing cost savings program. We also have discussed today the post smolt program, which is, of course, an important measure to address biological costs in addition to volumes. So, that will also take down the farming cost. And we have also – since the Capital Markets Day, we presented a smart farming concept, and that’s some work that’s ongoing in the background. We are rolling this out and that’s also expected to address biological costs, feeding costs and costs in farming. Of course, salmon is a very efficient protein. It has a very low feed conversion ratio, 1.3% versus 8% for beef and 3.9% for pork, 1.9% for chicken. So, the salmon is more resilient to the increases in feed prices versus other proteins. And that’s important and that’s beneficial for our company and for the industry. So, the message is that the inflation impacts everybody, also us. But we work hard to address costs. And we see that there is still a potential to get the benefits from many of our ongoing projects.
Ola Trovatn: Yes. Ola Trovatn, DnB Markets. Just a question on Page 10 on the sales contract portfolio from Norway, can you comment on this profile? And isn’t this kind of the opposite profile that we would like to see given the price pattern to the year?
Ivan Vindheim: Yes. Of course, if we could cherry-pick, I am 100% in agreement with you, but you also have someone on the other side of the table. So, when you contract, you contract a year and the volumes are flat, stable. So, what impacts the contract share in the end of the day is actually the harvest profile. And that follows at least to some degree, Mother Nature and seawater temperatures. So, I am afraid this is the best you get with our business model. So – but of course, ideally, theoretically, it could have been better. But in practice, I am afraid that’s not feasible.
Axel Jacobsen: Hi. Axel Jacobsen in Arctic Securities. So, how should we think about downgrades for Norway in the second quarter? And what is typically the price discount versus the spot price, given the elevated levels? And also on costs for Norway in the second half, do you expect a similar level as in Q1, or is there a further downside potential? And also, what is your assumption on the feed cost for the second half?
Ivan Vindheim: That was a lot. I am not sure I got it. But let’s start off. And if we missed anything, then please give us a heads up. In terms of winter sores, that follows by name, seawater temperatures. So, that will improve going forward. So, the worst part is always in the first quarter and then it gradually improves. But some of the fish is already downgraded in sea because of the skin sores. But some of it can be healed. So, you will see improvements. In terms of the price discount, I think we cannot share that with this audience. That’s something we have to keep to ourselves for business reasons. And the rest of the question, could you please repeat that?
Axel Jacobsen: Yes, that was on costs for the second half. So, we expect a drop, but do you expect to come back to the level that we saw this quarter, or is there a further downside potential? And also, the comment on lower cost, do you have an assumption on higher feed prices in the second half, or is that kind of based on the prices that we saw this quarter?
Ivan Vindheim: In general, I think you must expect higher farming blended cost going forward because of input prices. There is nowhere to hide in this environment, whatever you hear someone else say. So, again, there is no way to hide. When I said it during the presentation, my point was that we will be lower on volumes in the second quarter in Norway that will drag or push the cost even higher compared to first quarter. But on higher volumes, we expect lower realized cost in the second half due to more dilutional cost, more dilution of fixed costs. But in general, the trend going forward with the current inflationary pressure we have, again, there is nowhere to hide I am afraid. So, that’s the sad part. So, in the end of the day, I think it’s all about the salmon’s relative position to over animal protein sources first and foremost. So, as long as we can do better than the rest, then I think we are fine. But if you lose that battle then we are in trouble and our take to put all that aside is that we are in good shape. But I am afraid that we must adapt to different levels going forward. But of course, it can change maybe some of the input prices drop in costs, then you will see cost improvements. But right now, it’s hard to see any light in the tunnel. I don’t know if you have any further comments to that, Kristian, you work with cost day and night. So, can you deliver some improvements?
Kristian Ellingsen: Yes. No. Of course, I agree with your comments. And to us, it’s about combating it and also take as much as we can, but the underlying picture is very clear. For us and for everybody else, there is an underlying pressure on feed, of course, and also on other input factors. And then, of course, normally, you see that the supply chain constraints, these pressures, they are often the biggest in the beginning of different situations and then often, the picture improves over time. So, let’s hope that’s also the picture this time around.
Ivan Vindheim: I have been in the industry for 15 years, and the cost increase we saw last year was equal to my first 14 years. So, I think that tells a lot. And this is not only for salmon, you see the same for all other animal proteins.
Christian Nordby: Christian Nordby, Kepler Cheuvreux. With these high prices, where – can you give us some flavor on the demand side as in – is it foodservice that’s bidding up and primarily buying on these high prices and retailers are sort of surfing on our contracts, or how is the dynamic working on the demand side there?
Ivan Vindheim: We see a good development in both channels, but of course, going out of the pandemic and coming back with foodservice, that helps a lot, really. But retail is still strong. And this shift we saw during the pandemic, of course, some of it we will lose relatively speaking. But I think the pandemic built the retail channel stronger for us. So, maybe there was a silver lining in this, although it was not worth it.
Christian Nordby: And do you think the retailers will be willing to sort of participate on the higher prices next year as well should the prices stay at €7.5 or whatever they are going to be for an annualized level?
Ivan Vindheim: The salmon is the captain of the category. So, being a retailer, you cannot do it without salmon, then you lose your customers. So, yes, yes, we strongly believe they will continue to support the salmon going forward, we do, because the end customers, they want this product. It ticks all the boxes.
Christian Nordby: Thank you.
Nils Thommesen: Nils Thommesen, Fearnley Securities. I was wondering if you could give us a comment on the verdict that went in your favor in British Columbia recently and what impact that can have for Mowi and if it changes your view on the operations in Canada West in anyway?
Ivan Vindheim: It’s a very good question. And I think we have to be honest and say that the situation is a bit unclear right now. So, we don’t know. But it was very encouraging to have this rule from a Federal Court that the government, they failed to give us a fair treatment in the process leading up to the decision in 2019. So if anything, I think the government in Canada has to lay down a very different type of methodology than they have done so far. And they have to start to consult with experts and also with the farmers. So, this was absolutely positive for us. And also for the communities in British Columbia, this is a very important industry for them. But the final outcome, we don’t know yet. But I can promise you one thing, we will continue to pursue our interest also legally. So, the last word is not said in this case.
Martin Kaland: Martin Kaland, ABG. It seems like you have improving biology in the second half in Scotland at least outlook for that and improved biology in Canada, while in Chile, you mentioned that you had a tough summer, but could there still be improvements there as well going into the second half into the winter season? Could you comment on how it could develop there?
Ivan Vindheim: Yes, normally, that takes place in Chile because of seasonality. So, absolutely and now we have finished with the worst part of the year. And you always struggle with algae in Chile and some years, it can be very harmful as you are all aware of. So, knock on wood, now we are good. And now we are entering into a better part of year in terms of biology and growth. So, yes, we expect to see improvements in Chile as well. So, I apologize for not saying so during the presentation.
Martin Kaland: Do you also then say if it’s possible then to offset some of the cost inflation that you mentioned in feed there could be…
Ivan Vindheim: Normally, this help on cost to – in the short-term. But that said, in general, with increasing input prices over time, I think we just have to expect that farming cost goes up. There is nowhere to hide. And the comment that I said about feed prices, it’s unprecedented. But of course, that changed. You will also see a significant change in realized costs after a while.
Kristian Ellingsen: Okay. So, I think that concludes the Q&A session.
Ivan Vindheim: Then it only remains for me to thank everyone for the attention. We hope to see you all back in August at our second quarter release. Meanwhile, take care and have a great day ahead. Thank you.